Operator: Please standby. Good day, everyone. Welcome to VeriSign, Inc.'s Fourth Quarter and Full Year 2024 earnings call. Today's conference is being recorded. Recording of this call is not permitted unless preauthorized. At this time, I would like to turn the conference over to Mr. David Atchley, Vice President of Investor Relations and Corporate Treasurer. Please go ahead, sir.
David Atchley: Thank you, operator. Welcome to VeriSign, Inc.'s fourth quarter and full year 2024 earnings call. Joining me are Jim Bidzos, Executive Chairman, President, and CEO, and George Kilguss, Executive Vice President and CFO. This call and presentation are being webcast from the Investor Relations website, which is available under About VeriSign on verisign.com. There, you will also find our earnings release. At the end of this call, the presentation will be available on that site, and within a few hours, the replay of the call will be posted. Financial results in our earnings release are unaudited, and our remarks include forward-looking statements that are subject to the risks and uncertainties that we discuss in detail in our documents filed with the SEC, specifically the most recent report on Form 10-K. VeriSign, Inc. does not update financial performance or guidance during the quarter unless it is done through a public disclosure.
David Atchley: The financial results in today's call and the matters we will be discussing today include GAAP results and two non-GAAP measures used by VeriSign, Inc.: Adjusted EBITDA and free cash flow. GAAP to non-GAAP reconciliation information is appended to the slide presentation, which can be found on the Investor Relations section of our website, available after this call. Jim and George will provide some prepared remarks, and afterward, we will open the call for your questions. With that, I would like to turn the call over to Jim.
Jim Bidzos: Thank you, David. Afternoon to everyone, and thank you for joining us. I am pleased with VeriSign, Inc.'s success in continuing to deliver on our mission during 2024. We extended our unparalleled record of uninterrupted .com and .net resolution to more than 27 years, in an increasingly evolving cyber threat environment while protecting, improving, and strengthening our network. VeriSign, Inc.'s network now processes, on average, more than 400 billion transactions daily. Our focus remains on providing the security, stability, and resiliency Internet users worldwide have come to depend on not only for .com and .net but for the DNS root zone as well. Financially, in 2024, we delivered 4.3% year-over-year revenue growth while increasing operating income by 5.7%. Shares outstanding at the end of 2024 decreased by 6.2% from the total of outstanding shares at the end of 2023. Our financial and liquidity position continues to remain stable with $600 million in cash, cash equivalents, and marketable securities at the end of the year. During 2024, we returned $1.2 billion of capital to shareholders through the repurchase of 6.6 million shares. At year-end, $1 billion remained available and authorized under the current share repurchase program, which has no expiration. At the end of December, the domain name base in .com and .net totaled 169 million domain names, a decrease of 2.1% or 3.7 million names year-over-year. During the fourth quarter, the domain name base decreased by 500,000 names. From a new registration perspective, we saw improvements sequentially and year-over-year, with fourth quarter new registrations of 9.5 million compared with 9 million names for the same quarter last year and 9.3 million during the third quarter of 2024. The renewal rate for the fourth quarter of 2024, which is expected to be approximately 73.9%, shows improvement both sequentially and year-over-year. From a geographic region perspective during Q4, and the full year 2024, we saw decreases in the domain name base from both our US and China-based registrars. The domain name base in EMEA was up both sequentially and for the full year 2024. In 2024, the decrease in China volumes was in line with our expectations at the start of the year. For 2025, we continue to expect our China registrar segment to decline, albeit at a slower pace. As that segment now represents only 5% of our domain name base, the decrease from China will have a smaller impact. As we have previously reported, we have seen US registrars, through higher retail pricing levels, reduce spend on marketing to new customers compared with prior years, and an increased focus on the secondary market for domain names. These factors impacted new registrations and renewal rates in 2024 for our US region. In response to these trends, we began working to reengage registrars on new customer acquisition by launching new marketing programs for .com and .net to support our goal of returning to domain name base growth. We stated last quarter, we have seen positive response to our new programs, and we expect many of the registrars to engage more fully in 2025. It is early in this process, but we are optimistic that our efforts will start to improve the DMV growth trend in 2025. Given these conditions and trends for 2025, we are expecting the year-over-year change in the base to be negative 2.3% to negative 0.3%. And now I would like to turn the call over to George. Return when George has completed his financial report with closing remarks.
George Kilguss: Thanks, Jim, and good afternoon, everyone. For the year ended December 31, 2024, the company generated revenue of $1.557 billion, up 4.3%. Operating expenses totaled $499 million and were up 1.4% from the previous year, resulting in operating income of $1.058 billion, up 5.7% from 2023. For the fourth quarter ended December 31, 2024, the company generated revenue of $395 million, up 3.9% from the same quarter of 2023, and delivered operating income of $264 million, an increase of 2.9% from the same quarter a year ago. Operating expense in Q4 2024 totaled $132 million, which compares to $121 million during the third quarter and $124 million a year earlier. As we discussed on our last quarter's earnings call, we expected an increase in Q4 operating expenses due to prior quarter spending delays. Net income in the fourth quarter totaled $191 million compared to $265 million a year earlier, which produced diluted earnings per share of $2 for the fourth quarter of 2024 compared to $2.60 for the same quarter of 2023. As previously discussed, net income in the fourth quarter of last year included the recognition of $69.3 million of income tax benefits, which increased diluted earnings per share by $0.68 in the year-ago quarter. Operating cash flow for the fourth quarter of 2024 was $232 million, and free cash flow was $222 million compared with $204 million and $199 million, respectively, in the year-ago quarter. Operating cash flow and free cash flow for the full year of 2024 totaled $903 million and $875 million, respectively. I will now discuss our full year 2025 guidance. Revenue is expected to be between $1.615 billion and $1.635 billion. Operating income is expected to be between $1.095 billion and $1.115 billion. Interest expense and non-operating income net, which includes interest income estimates, is expected to be an expense of between $50 million and $60 million. Capital expenditures are expected to be between $30 million and $40 million. And the GAAP effective tax rate is expected to be between 21% and 24%. Overall, VeriSign, Inc. continued to demonstrate sound financial discipline during the fourth quarter and throughout 2024. Now I will return the call back to Jim for his closing remarks.
Jim Bidzos: Thank you, George. In summary, VeriSign, Inc. successfully concluded the year by renewing the .com Registry Agreement with ICANN and the cooperative agreement with the NTIA. We extended our unparalleled 27-year track record of resolution availability for .com and .net, and we delivered sound financial and operational results. As we look to 2025 and beyond, we will continue to focus on and be driven by our mission. It relates to the domain name base growth rate. For 2025, we see three positive trends taking shape. First, the decrease from China-based registrars is expected to be more muted. Second, the marketing programs we rolled out in 2024 and continue to offer for 2025 are being adopted by our registrars. Finally, while it is early in the cyclical trend, we do expect registrars to start refocusing on customer acquisition and are starting to hear from some registrars an expectation for increased marketing efforts in 2025. Although we expect a slight decline in the domain name base in 2025, we do expect trends to improve from what we saw in 2024. Thank you for your attention today. This concludes our prepared remarks. And now we will open the call for your questions. Operator, we are ready for the first question.
Operator: Thank you. If you would like to signal with questions, please press star one on your touch-tone telephone. If you are using a speakerphone, please make sure your mute function is turned off to allow your signal to reach our equipment. Please mute your line. Again, that is star one if you would like to signal with questions.
Operator: And we will take a question from Rob Oliver with Baird.
Rob Oliver: Great. Thank you. Good afternoon. I had a couple of questions. Jim, first for you. In your closing remarks there, you mentioned it was a big year for you guys last year with the ICANN renewal as well as the cooperative agreement at the NTIA. And certainly, the investor focus now is pivoted towards the domain base, and you finished with three points as to why you are more optimistic on that. I guess, from your perspective, maybe looking at the macro as well in addition to those three points, if you could give us some more color on the three, but also just around the macro. Generally, I know you mentioned that you suspected that some of the registrars might be pivoting more towards new domains, which would be very encouraging. What gives you that comfort? And then I had a couple of follow-ups.
Jim Bidzos: Okay. Thanks, Rob. Well, as you know, today, we guided the domain name base continuing to decrease during this year, 2025. Although, the midpoint of our range suggests an improving trend from what we saw last year. We do see the trends that have a negative impact as cyclical in nature, and we do expect the domain name base to return to growth once we work through those trends. As I said earlier, China is lessening and now only represents 5% of our business. Also, our new marketing programs are being adopted. We are seeing positive impact from them. It is early. We expect more throughout the year. Finally, while it is early in a cyclical trend, we do expect registrars to start refocusing on customer acquisition and are starting to hear from registrars, like I said, an expectation for increased marketing efforts. In fact, I would point out that two registrars are running Super Bowl ads, which will reach around 200 million viewers. So as you look back, the two main trends we called out, China and ARPU, were impacting the DNA DNB. And both seem to be easing. And where we could influence through marketing programs, there are encouraging signs. And also renewal rates have improved. So that is the picture we see.
Rob Oliver: And on those marketing programs, Jim, if you could just provide a little bit more color perhaps on if there are particular regions where you guys are seeing early traction? I know you have said it is still early and the results will not be immediate, we get that, or perhaps this is for George. But any particular areas where you are seeing early signs that the marketing programs are starting to take hold or conversely where you had to tweak them and feel comfortable that you now have the formula right? Any color there would be great.
Jim Bidzos: Okay. I will invite George to comment. I will just say that, you know, it takes time to get these things integrated. There is adoption, integration, and there is actual performance. So it may be early to give you a clear picture of where we are, but we do see...
George Kilguss: Yeah. Sure, Rob. I mean, as we have mentioned, the focus of our new programs is really to offer more options for our registered community to help them engage in a variety of programs that really are more aligned with their particular go-to-market strategies. So again, looking for opportunities for a win-win. As we talked about in 2024, we spent a lot of time developing and piloting a lot of these programs. We have gotten feedback. We have also refined and recently relaunched these programs late in 2024 here. We actually had a few programs that we rolled out here early in January as well. Again, from a little color, when we talk to registrars, we have gotten a lot of positive feedback from registrars that our programs are aligning with strategies that they are employing, and they feel they can use these programs within their own marketing programs. So that is good news for us. You know, as far as early adoption, I would say it is a little early right now. Most registrars are just starting to roll out there. Even though we have had these programs launched late last year and we have gotten good feedback and we have modified some of them, they are really gearing up to roll them out here in 2025. Some registrars do engage a little earlier than others, but I think it is a little early for us to comment on that. But we are optimistic about the programs we have rolled out. We have gotten great feedback.
Rob Oliver: Great. That is helpful. And then the last one for me, Jim, back to you. Just we have got a couple of leadership changes happening. One obvious one, we have a new administration in DC. So we would be curious to hear from you what, if anything, you might expect or how we should think about that relative to VeriSign, Inc.'s business and, you know, number one. Number two, are discussions with the NTIA ongoing? I know that the NTIA obviously dictated did not ultimately request any changes. But, you know, you guys had agreed to sit down with them, so I would be curious to hear whether those discussions are ongoing. And then we have a new head of ICANN that came in in December. Any thoughts there would be helpful. I realize that is a lot. Thank you guys very much.
Jim Bidzos: Okay. Thanks, Rob. Well, first of all, I would just point out that where we are today, VeriSign, Inc., the cooperative agreement, ICANN, this whole process is a result of decades of very successful policy across many different administrations of many political stripes. So we tend to sort of see that as not directly impacting factor, just a long-supported consistent policy with security and stability as the main driver. And as you mentioned, there are new folks in December. Of course, we have a new CEO in ICANN, and we will be getting a new NTIA administrator shortly, we believe. And we look we have great relationships with both organizations, and we look forward to continuing them. We have always maintained a good working relationship with ICANN for many decades, and we look forward to working with the new CEO, Curtis Linfist, and his leadership team, particularly in the areas we engage in mostly, which is security and stability of the DNS and DNS abuse. About the second part of your question, ongoing discussions with the NTIA, that is typical for our relationship. We look forward to working with the new NTIA assistant secretary, a partner confirmation, I look forward to meeting her. I think until then, I will not speculate. But let me add some background that might be a little bit helpful there. First, the cooperative agreement has long contained, as I think most of the listeners here know, strict requirements that VeriSign, Inc. meet the most rigorous availability and performance specifications of any TLD due to the reliance services and infrastructure on .com and .net. In 2018, amendment 35 retained these provisions. And while there was reduced regulation, there was also explicit protection for registrant first amendment rights by guaranteeing that the .com registry will remain content neutral. These and the other policies in a 2018 amendment have proven in the last six years to be successful in continuing the policy of security and stability. And resilience first and the critical importance of .com to the security and stability of the infrastructure that is literally critical to the digital economy of the US. And finally, I will just mention that the recent .com renewals enabled us to clear up some misinformation that was spread during that process. One, for example, is that we received money from the government, which simply is not true. Our cooperative agreement is not a procurement contract, and the US government does not fund VeriSign, Inc. for the secure and reliable Internet service that VeriSign, Inc. helps to preserve every day and has without interruption for 27 years. And as I mentioned, now processing an average of over 400 billion transactions every day, by the way, is 40 times the number of daily average Google searches. 40x there was a lot of misinformation about our pricing as well. As you know, our pricing is capped and it is transparent. It is a simple fact that our limited pricing flexibility at the wholesale level has not kept up with global CPI over the last six years. While at the same time, we have seen the unregulated retail price increases exceed our wholesale price increases. So, hopefully, that bit is helpful. Look forward to engaging with our new regulators, and we look forward to...
Rob Oliver: Great. Okay. I am going to go back and need to read that transcript. Thank you guys very much. I appreciate that, Jeff. Thanks.
Jim Bidzos: Sure.
Operator: And we will take our last question from Ygal Aronian with Citi.
Ygal Aronian: Hey. Good afternoon, guys. Let me start on just coming back to the comments on the cyclical trends, that you are expecting from the registrar is to kind of go back and be a little bit more focused on the broader top of the funnel customer acquisition. And it sounds like what you guys were trying to accomplish with the marketing programs, but it also sounds like you are talking about both of those points as two distinct things. Is that true? And if, you know, for moving back in that part of the cyclical part of the cycle or why are the marketing programs important? Does it kind of help amplify that move back up cycle?
Jim Bidzos: I think if I understood the question, it is if a cyclical turn is coming, why the programs? Is that a hope that is not an unfair summary.
Ygal Aronian: Okay. I guess are they two distinct points? And if yes, then why the...
Jim Bidzos: Yeah. So, okay. I would say two things. That we brought up in the past. First of all, we pointed out that the programs were actually being designed as a response to the evolving nature and structure of our channel. We got a lot of website owners who have become registrars. They have different business models. There are more of them. Some are large, some are small. So designing programs that met their needs and gave them flexibility as opposed to and I will generalize a bit here, you know, the one size fits all that we kind of used in the past, that was a primary motivator. And when we talked about the cyclical trend from ARPU back to customer acquisition, I think I remember a quarter or two ago saying that we would focus on programs and that we hope to get a tailwind from a return acquisition. So I do not think those it is not sort of one or the other. We certainly can do both because they are really for different reasons. Some of the programs maybe can incentivize a shift away from ARPU, but I do not think that has the same effect as giving our registrars the choice that the diverse nature of that channel is going to require. George, do you have any comment?
George Kilguss: I would just say, Ygal, you know, look at we clearly have a good channel. We want the stronger we can make that channel, the better it is for us. And so we are trying to support that channel because they are evolving, they have different needs, and sometimes, some of our previous programs may not have fit the needs of all registrars. We are taking that feedback. We are helping them. We are also trying to help them target registrations, new registrations to high renewal rate cohorts. Which would be good for them and good for us. And so as Jim said, the channel continues to evolve. The market continues to evolve. And we believe we need to continue to do the same to support the channel.
Jim Bidzos: I guess one last thing I might add here is that we said, I think George mentioned in his remarks that we are seeing take up in the channel. I think this is a result of offering more flexibility and choice in our programs. In the past, when we had a fairly straightforward simple program offered to all. We saw that it worked for some and did not work for some. And what the feedback we are getting is that these choices are great, and they are finding programs that work for them. That is the initial take up. We will see where it goes. Of course, we will work hard to support them, but, you know, that is something we can put some energy into and hopefully get a return. But I would say ARPU is a cyclical tailwind in a sense. There is less we can influence there. We can benefit from it. And we are seeing signs that that shift is occurring as well.
Ygal Aronian: Okay. Very helpful. A quick follow-up on that. Is it just a shift in strategy, or are you spending more on the marketing programs that maybe just if you could talk about how that is embedded in the operating income guidance for the year.
George Kilguss: Yeah. I would say, primarily, it is a shift in strategy. Having said that, a lot of our programs are success-based. So if they are extremely successful, we will spend more, but those should be accretive to us over time. But it really is a shift to strategy recognizing the changing channel and trying to support them in their different strategies.
Jim Bidzos: And the expense of all those programs is baked into our guidance. I would just add.
Ygal Aronian: Okay. Alright. Helpful. I have two more, if you do not mind. One is the gross new registrations number was, if my numbers are right, the largest one since Q2 2021. Or year on the year-over-year growth. Sorry. Can you talk about that? What you are seeing there? And that is a pretty impressive number in the quarter. I know the renewal rates are still a little bit below where they are normally. But if you look at the gross numbers, it looks like some of the cyclicality is already coming back here in Q4.
George Kilguss: Yeah. As you point out, Ygal, we did 9.5 million new registrations, up sequentially and also up year-over-year. Again, I would credit some of the early successes to some of the programs we launched in the fourth quarter that supported that. So we saw good engagement from some people. Again, it is only a partial year. And we think, you know, once we get further into the year, we will get more channel partners engaging in these programs, but it is some early successes from those programs. So, you know, not huge numbers, but we are seeing positive trends. And as you saw, and as Jim mentioned, the contraction of the domain name base a half a million dollars. That is, you know, it was 1.1 million down in the third quarter and 1.2 million down in the year-ago fourth quarter. So we saw some improvement here, and that gives some optimism here as we move into 2025.
Ygal Aronian: Yeah. Okay. Helpful. And then last maybe a little bit of a bigger picture question. Or auctions coming up for some new generic TLDs later this year. Just wanted to get your thoughts on that. You know, particularly with the way NGTLDs have taken share of total domains over the last decade since they have been introduced. Are you interested in bidding for new domains? Has your strategy changed in the kind of amount of domains you want to be a registry for, especially think about that. And sorry. And within that, maybe you could just give us an update on .web. That is also a new TLD. Thanks.
Jim Bidzos: I am glad you mentioned .web because I was going to sort of include that in the answer. We did some years ago, obviously, move to acquire another TLD and expand our portfolio there. So first of all, let me answer them in reverse order. So with .web, we are still very interested in being the registry operator for .web. Although this process has taken quite a few years, we still want to be able to offer .web domains to our customers. The process is still with ICANN, and it is their IRP or roughly translates to arbitration process. And we understand what we have come to understand here recently is that there will be more briefings and hearings in 2025 with a planned final merits hearing currently slated for later 2025. And we think that they are continuing to drag this process out and to abuse ICANN's rules actually is the intention of the competing party. As far as the new round, we are considering looking at it. Tossing ideas around, looking at the potential for applications, but we have nothing to share at this point.
Rob Oliver: Alright. For taking fifteen questions from two analysts.
Jim Bidzos: Anytime.
Operator: And that does conclude the question and answer session. I will now turn the conference back over to Mr. David Atchley for final comments.
David Atchley: Thank you, operator. Please call the Investor Relations department with any follow-up questions from this call. Thank you for your participation. This concludes our call. A good evening.
Operator: Thank you. That does conclude today's conference. We do thank you for your participation. Have an excellent day.